Operator: Good morning, and welcome to the Getty Realty Corp. fourth quarter 2025 earnings call. This call is being recorded. After the presentation, there will be an opportunity to ask questions. Prior to starting the call, Joshua Dicker, Executive Vice President, General Counsel, and Secretary of the company, will read a Safe Harbor statement and provide information about the non-GAAP financial measures. Please go ahead, Mr. Dicker. Thank you, operator. I would like to
Joshua Dicker: Thank you all for joining us for Getty Realty Corp.’s fourth quarter and year-end earnings conference call. Yesterday afternoon, the company released financial and operating results for the quarter and year ended December 31, 2025. The Form 8-Ks and earnings release are available in the Investor section of our website at gettyrealty.com. Certain statements made during this call are not based on historical information and may constitute forward-looking statements. These statements reflect management's current expectations and beliefs and are subject to trends, events, and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. Examples of forward-looking statements include our 2026 guidance and may include statements made by management, including those regarding the company's future operations, future financial performance, or investment plans and opportunities. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. I refer you to the company's Annual Report on Form 10-K for the year ended December 31, 2024, as well as any subsequent filings made with the SEC for a more detailed discussion of the risks and other factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. You should not place undue reliance on forward-looking statements, which reflect our view only as of today. The company undertakes no duty to update any forward-looking statements that may be made during this call. Also, please refer to our earnings release for a discussion of our use of non-GAAP financial measures, including our definition of adjusted funds from operations, or AFFO, and our reconciliation of those measures to net earnings. With that, let me turn the call over to Christopher Constant, our Chief Executive Officer. Thank you, Josh. Good morning, everyone, and welcome to our earnings call for the fourth quarter and year-end 2025. Joining us on the call today are Mark O’Lear, our Chief Investment Officer and Chief Operating Officer, Brian Dickman, our Chief Financial Officer, and RJ Ryan, our Senior Vice President of Acquisitions. As previously announced, RJ will succeed Mark as Chief Investment Officer upon Mark's retirement at the end of this month. I will lead off today's call by providing highlights of Getty Realty Corp.’s 2025 financial performance and investment activity. Mark and RJ will then discuss our portfolio and investments in greater detail, and Brian will provide additional information regarding our earnings, balance sheet, and 2026 AFFO per share guidance. I am pleased to report that the combination of stable rental income from our in-place portfolio and strong yields from acquisitions produced strong rent and earnings growth for the fourth quarter and full year 2025. Getty's annualized base rent grew by nearly 12% in 2025, while AFFO per share was up 5% for the fourth quarter and 3.8% for the full year, which was the high end of our increased earnings guidance. Our in-place portfolio continues to provide a solid foundation for our business with essentially full occupancy and rent collections and stable rent coverage. Our tenants continue to benefit from consumer trends that drive performance at convenience and automotive retail properties, namely demand for convenience, speed, and do-it-for-me services, and their businesses have proven resilient as they have historically. Turning to our growth initiatives, for the year, we invested approximately $270,000,000 at an initial cash yield of 7.9%. I would like to highlight a few accomplishments for the year, which demonstrate the effective execution of our strategy to accretively grow and further diversify our portfolio. First, the $100,000,000 sale-leaseback we closed in October for a 12-property convenience store portfolio in Houston, Texas. These assets are leased to Now and Forever, a growing regional convenience store chain with a dominant market position in densely populated Houston submarkets. Over the last five years, we have acquired more than 60 properties generating nearly $25,000,000 of ABR in Texas, which is now our largest state exposure, including more than 25 properties generating over $14,000,000 of ABR in Houston, which is now our second-largest market after New York City. Second, we made a significant commitment to the collision repair sector when we agreed to provide up to $82.5 million of development funding for the construction of 11 new-to-industry collision centers for a top-three operator in the sector. We expect a number of these sites to open in 2026 and look forward to building on our momentum in this subsector of automotive service. We also completed our first travel center investments with existing and new tenants who have expanded their store networks by building or acquiring large-format C-stores and travel centers. We view investing in travel centers as a natural extension of our buy box, and in 2025, we acquired four travel centers for $47,100,000.
Operator: Additional 2025 highlights include
Christopher Constant: A record year of investments for drive-thru quick-service restaurants, where deliberate resource allocation and targeted sourcing efforts resulted in Getty investing nearly $40,000,000 across 28 properties, representing approximately 15% of our investment activity for the year. We also continue to allocate capital to dense and growing markets. During the year, more than 75% of our 2025 investment activity was in top 100 markets around the U.S., and we increased exposure to a number of attractive metro areas, including Atlanta, Dallas, Houston, Las Vegas, Memphis, and San Antonio. We also demonstrated the consistency of our relationship-based sale-leaseback acquisition strategy during the year by directly negotiating transactions with tenants that drove more than 90% of our closed transactions in 2025, which helped us add 13 new tenants to our portfolio during the year. Finally, our ability to maintain a healthy investment pipeline, which currently consists of approximately $100,000,000 of investments under contract, most of which we expect to fund by 2026. Sticking with our pipeline, including our opportunities that are in various stages of underwriting and negotiating, our investment team continues to do an excellent job sourcing investment opportunities that fit our well-defined strategy, meet our stringent underwriting criteria, and generate consistent earnings growth. Our collective ability to execute period after period regardless of market conditions is a testament to the platform and culture we have established at Getty Realty Corp. As we think about 2026 and beyond, we continue to be excited about our strategy, the sectors we invest in, our people, and the platform we have built. We believe we are on a path to accelerate our growth trajectory as we expand our relationships, extend our underwriting to new opportunities, and further refine our processes with the help of data-driven analysis to enhance our investment decisions. I would like to close with some comments on our upcoming management transition. As previously announced, Mark O’Lear is retiring in February. During his time at Getty Realty Corp., Mark broadened our investable universe, redefined our underwriting approach, and created a redevelopment program that has seen us complete more than 30 value-add projects. I want to congratulate Mark on a successful 40-year career and thank you for being my partner for the past decade plus at Getty Realty Corp. We will miss having him here on a daily basis. I am equally excited to announce that RJ Ryan, our current SVP of Acquisitions, will be promoted to the position of Chief Investment Officer. RJ has been with Getty Realty Corp. for nearly a decade, has led our acquisitions team since 2018, and is ready to take on additional leadership responsibilities as our CIO. I hope you all enjoy getting to know RJ better as he plays a more visible role with the investor community. With that, I will turn the call over to Mark. Thank you, Chris. I appreciate the kind words and would like to thank everyone at Getty Realty Corp. It has been an honor to lead the company's real estate efforts for the past decade. RJ is more than ready for his new role, and I am confident that Getty Realty Corp. will be successful at continuing to execute its growth plans. Turning back to the business, at year-end, our lease portfolio included 1,169 net leased properties and two active redevelopment sites. Excluding the active redevelopments, occupancy was 99.7%, and our weighted average lease term was 9.9 years. Our portfolio spans 44 states plus Washington, DC, with 61% of our annualized base rent coming from top 50 MSAs and 77% coming from top 100 MSAs. We have performance insight into 95% of our ABR through site-level financial reporting or financials derived from public reporting companies. Our rents for properties where we receive site-level reporting continue to be well covered with a trailing twelve-month rent coverage ratio of 2.5x. Turning to our investment activities, I will let RJ take you through our results. Thanks, Mark. Good morning, everyone. For the year, we underwrote a record $6,800,000,000 of potential investments. Consistent with our objective to diversify our portfolio within our target sectors, 54% of our underwriting was focused on non-convenience store properties including auto service centers, primarily collision centers and oil change locations, drive-thru quick-service restaurants, and express tunnel car washes. We had a strong fourth quarter in which we invested $135,400,000 across 26 properties at an initial cash yield of 7.9%. The weighted average lease term on acquired assets for the quarter was 15 years. Highlights of this quarter's investments include the acquisition of the 12-property $100,000,000 sale-leaseback we completed with Now and Forever in October, two additional convenience stores for $18,700,000, which included a travel center and a New York City property that we previously leased, six auto service centers for $9,900,000, of which $1,400,000 was previously funded, two express tunnel car wash properties for $10,900,000, of which $7,400,000 was previously funded. We also advanced incremental development funding in the amount of $3,600,000 for the construction of new-to-industry collision centers, oil change locations, and drive-thru QSRs. These assets are either already owned by the company and are under construction or will be acquired via sale-leaseback transactions at the end of the projects’ respective construction periods. For the year, Getty Realty Corp. invested $268,800,000, which included the acquisition of 73 properties for $278,300,000, of which $23,100,000 was previously funded, and incremental development funding of $13,600,000. The weighted average initial yield on our investments was 7.9% for the year, and the weighted average lease term for the acquired assets was 15.8 years. Subsequent to year-end, we invested an additional $8,700,000 for the acquisition or development of four drive-thru QSRs and four auto service centers. Beyond our disclosed pipeline of approximately $100,000,000 of investments under contract, the majority of which we expect to fund in 2026 at initial cash yields in the high 7% area, we continue to source actionable opportunities across our investable universe. These are all properties that will be added into our portfolio and accretive to earnings as we look to further scale and diversify our business. Thank you, RJ. As my final prepared remarks, I am pleased to say that as a result of our investment activity over the last several years, Getty Realty Corp. currently has the most diversified portfolio in terms of tenants, sectors, and geographies in the company's history. Since the onset of our current investment strategy, which emphasizes both growth and diversification, we have added 49 new tenants to our portfolio and diversified our annual rent streams, with nearly 30% of our annual base rent now derived from non-convenience and gas properties. With that, I turn the call over to Brian. Thanks, Mark. RJ, good morning, everybody.
Brian Dickman: Yesterday, we reported AFFO per share of $0.63 for Q4 2025, an increase of 5% over Q4 2024. FFO and net income for the quarter were $0.64 and $0.45 per share, respectively. For the full year 2025, AFFO per share was $2.43, an increase of 3.8% compared to the full year 2024. FFO and net income for 2025 were $2.34 and $1.35 per share, respectively. A more detailed description of our quarterly and annual results can be found in our earnings release. Our corporate profile contains additional information regarding Getty Realty Corp.’s earnings and dividend per share growth over the last several years. Starting with some color on G&A expenses, management focuses on the ratio of G&A excluding stock-based compensation and nonrecurring retirement costs to cash rental and interest income. That ratio was 9.5% for the full year 2025, a 10 basis point improvement over 2024. Both the year and fourth quarter included elevated legal and professional fees, both transaction-related and other, that we generally consider nonrecurring. Absent those charges, we would have achieved a more significant reduction in this ratio. In 2026, we expect G&A growth to be less than 2% and for our G&A ratio to fall below 9% as we focus on controlling expenses and continuing to scale the company. Moving to the balance sheet and liquidity, as of December 31, net debt to EBITDA was 5.1x, or 4.8x including unsettled forward equity, both metrics well within our target leverage range of 4.5x to 5.5x. Fixed charge coverage for the period was 3.8x. During the fourth quarter, as previously announced, we closed on $250,000,000 of new unsecured notes. Those notes funded in January, and we used the proceeds to repay borrowings under our $450,000,000 revolving credit facility. Pro forma for the notes transaction, we have $1,000,000,000 of senior unsecured notes outstanding with a weighted average interest rate of 4.5% and a weighted average maturity of 6.2 years, as well as full borrowing capacity under our revolver. We have no debt maturities until 2028. Turning to equity capital markets, during the fourth quarter, we settled approximately 2,100,000 shares of common stock for net proceeds of approximately $59,100,000 and entered into a new forward sale agreement to sell approximately 400,000 shares for anticipated gross proceeds of approximately $12,700,000. As of December 31, we had approximately 2,100,000 shares of common stock subject to outstanding forward sale agreements which, upon settlement, are anticipated to raise gross proceeds of approximately $62,600,000. We continue to be in a strong capital position and, pro forma for the notes transaction, have more than $500,000,000 of total liquidity including unsettled forward equity, availability on our revolver, and cash on the balance sheet. We have sufficient capital to fund our committed investment pipeline plus incremental investment activity as we look forward to 2026. With respect to guidance, we are reaffirming the AFFO per share range of $2.48 to $2.50 that we introduced earlier this year. As a reminder, our guidance reflects the current run rate from our in-place portfolio with certain expense and credit loss variability and does not include prospective investment or capital activities. We think this approach remains appropriate for our business, but note that historically, over the last five years, we have averaged more than $200,000,000 of annual investments and added approximately 250 basis points of AFFO per share growth beyond the midpoint of our initial guidance range. Pages 8 and 10 of our corporate profile highlight our earnings results and investment activity over the last several years, and page 22 illustrates the difference between our actual results and our initial guidance since 2021. We look forward to updating the market on the positive impact that our investment program has on our earnings as we move through the year. With that, I will ask the operator to open the call for questions.
Operator: Thank you. We will now conduct a question-and-answer session. If you would like to ask a question, please press 1 on your telephone keypad. You may press 2 to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Once again, that is 1 at this time. One moment while we poll for the first question. The first question comes from Upal Rana with KeyBanc Capital Markets. Please proceed.
Upal Rana: Great. Could you provide a little more detail on the $100,000,000 investment pipeline you mentioned in the release? Any types of assets or any timing there on funding that you can provide?
Brian Dickman: Yeah. Hey, Upal. It is Brian. Happy to do so. About 80% of that, if you are looking at property types, about 80% of that is auto service, both collision centers and oil change locations, followed by C-store, drive-thrus, and car wash in that order, making up the remaining 20%. And then from a transaction type perspective, about 80% of that is development funding. That is sort of the long end of that deployment range that we put out, and the balance is regular acquisitions that are more in the, you know, call it 60-day, you know, 60–90 day type time frame from a closing perspective.
Upal Rana: Okay. Great. That was helpful. And given the improved share price and cost of capital relative to last year, do you think you can do more investment volume this year relative to last year?
Brian Dickman: Well, I will just say that I think we are off to a great start. Right? Obviously, it is a couple of weeks into the year to have $100,000,000 under contract.
Christopher Constant: We are really enthused by the pipeline we have. Behind that, that is in various stages of negotiation and underwriting. I think we are already north of 25% of our last year's underwriting volume sitting here today in early February. Certainly, the improved cost of capital is helpful. We are looking at investments and looking at our available opportunities in the capital markets. So I think I would say we are off to a great start. We are optimistic.
Brian Dickman: And I think the team has done a great job all around in bringing great opportunities in for us to evaluate, and we look forward to adding a lot of that to our company as we move through the year.
Upal Rana: Okay. Great. Thank you.
Operator: The next question comes from Mitch Germain with Citizens. Please proceed.
Mitch Germain: Thank you. Just the cadence of that $100,000,000, the way to think about it, it is mostly going to hit a little bit each quarter. Is that the way to think about it?
Brian Dickman: Mitch, it is Brian. That is what I was just alluding to. Again, think you have, call it, 20% of that that is regular acquisitions that are, call it, average 60 days, so kind of 30–90 days. That is the front end of that deployment range, kind of the three-month area. Development funding gets deployed over time. We expect the majority of that to be deployed over the next twelve months. The cadence is really dictated more by the tenants, their development schedules, when they submit for reimbursement. But assume that that gets deployed throughout the year, which should give you a little bit more visibility. But candidly, we do not always have that until the reimbursement requests start coming in. And then I would just add, maybe to reiterate or reemphasize what Chris said, that is simply what we have under contract. There is a fairly sizable pipeline behind that. As we have seen in past years, there are deals that from a public disclosure standpoint never make it into our pipeline, so to speak. Now and Forever was a great example. When initially reported, that deal was not under contract, and it closed before we reported the next quarter. So I say that just to highlight again that that is what is under contract today. That is the timing that we are looking at with respect to deployment for the $100,000,000, but there is quite a bit of deal activity behind that, certainly some of which we would expect to hit this year as well.
Mitch Germain: Great. And then to that point, obviously, Chris mentioned how about 25% of that, I will call it $7,000,000,000 you underwrote last year, has already been kind of under consideration. I am curious, Chris, what do you think is driving that increased emphasis to potentially sell here?
Brian Dickman: Yeah. Hey. It is Mark.
Mitch Germain: Hi, Mark.
Brian Dickman: A lot of things right now. The team continues to do a great job sourcing opportunities both with new
Mitch Germain: Potential tenants and managing
Brian Dickman: With our existing tenant base. We continue to talk about diversity across all the asset classes that we trade in. So we introduced a bigger buy box
Christopher Constant: A few years ago, and we are seeing the momentum and the results of that.
Mitch Germain: You know, the ability for us to both transact at the different ranges of
Christopher Constant: The cap rates that are out there in the market
Mitch Germain: You know, allow us to source opportunities.
Christopher Constant: You know, we are sensing, Chris used the word, an optimistic tone around the market. The buyer pool seems more active coming out of the year.
Brian Dickman: I am sorry. The seller pool seems more active coming out of the year. So it is a combination of a lot of things. So it is just more
Christopher Constant: More of the same around the efforts to develop business across all our asset classes and across the geographies and with routine tenants. You know, routine business with our existing tenants, I would say.
Brian Dickman: So
Mitch Germain: Great. Last one for me. Arco priced an IPO last night. Should we think about this as a potential credit-enhancing event?
Operator: Yeah. You know, so
Brian Dickman: In conversations with them, and I think one of their primary motivations was allowing investors to see both pieces of their business independently, the retail assets and the wholesale business.
Christopher Constant: Yep. The use of proceeds, as stated, was to pay down debt. So as a landlord, we certainly appreciate that. I do think that is a credit enhancement.
Brian Dickman: Gives folks more visibility into the various pieces of their business. What I have said before, I will just say again. Arco has been a tenant of ours for almost twenty years at this point.
Mitch Germain: You know?
Christopher Constant: Fantastic operator.
Brian Dickman: He has got a defined strategy that he is working through. We have got five leases with him that we can see site-level
Christopher Constant: Information on, and we are comfortable with
Brian Dickman: How all those leases are performing. So
Christopher Constant: I am thrilled for Ari that he got his deal done, and certainly, I think from an investment standpoint, or if you are focused on maybe the fuel side or on the retail side, it does give you the ability to see those businesses and how each one operates independently.
Mitch Germain: Great. Good luck in 2026. And, Mark, wishing you the best.
Brian Dickman: Thank you.
Operator: The next question comes from Michael Gorman with Bank of America.
Michael Gorman: Thank you. Good morning.
Operator: Brian, just following up on your comments on the exclusion of
Michael Gorman: Prospective investment activity in the initial guide, I wanted to clarify if the current guide includes the $8,700,000 of additional acquisitions subsequent to quarter-end. And then how much of that $100,000,000 pipeline is in the current initial guidance?
Brian Dickman: Yes. Go ahead, Michael. The $8,700,000 is in there. So it is a point-in-time run rate, usually at the day of the release or the day before. So that is in there. And then by definition or by approach as it currently stands, none of the $100,000,000 would be in that guidance number.
Michael Gorman: Thank you. And then maybe for Chris, as you kind of balance the portfolio with maintaining your niche and expertise, what do you think now with 30% of ABR from non-convenience and gas is the right balance, or are you looking to increase from there?
Brian Dickman: Well, what I would say is, Mark mentioned that now 30% of our rent comes from
Christopher Constant: Non-convenience and gas asset classes, and that is basically over the last six years at this point, or five and a half years. During that time period, we have made significant investments in the C-store sector, including Now and Forever, and there were some larger deals that we did in 2024 in the sector. So we still like all the— I think what you are seeing, though, is on balance, the underwriting has gone from maybe $4,000,000,000 to almost $7,000,000,000 as we develop relationships in these other verticals, which do take some time, given how we like to transact with portfolio sale-leasebacks.
Brian Dickman: You are starting to see the strategy really take off.
Christopher Constant: You know, whether it is the QSR work we did this year, we have done a lot in the car wash business. So we do not have defined limits or category limits within those asset classes, but I think you can expect to see the business become more diverse just naturally as we develop relationships, have more resources focused on
Brian Dickman: Not only C-store, but some of the other verticals.
Michael Gorman: So I think we are really happy with how the business has
Christopher Constant: Expanded and become more diversified and gotten larger, but there are no hard targets in any asset class to answer your question specifically.
Michael Gorman: Thank you.
Operator: The next question comes from Michael Goldsmith with UBS. Please proceed.
Michael Goldsmith: Yes. Justin on for Michael. Thanks for taking the question. Maybe just two quick ones for me. We have seen other net lease REITs increase exposure to C-stores. Do you expect your cap rates of 7.9% to hold firm
Christopher Constant: And then secondly, Getty sold seven properties in 4Q. Can you provide some color as to why these were candidates to be disposed of? Thanks. Yeah. I will take the first one, which is the competitive landscape. And we have been in the sector for a long time in the C-store.
Brian Dickman: The other REITs that you are referring to that are investing in C-stores have either been buying them for a long time, and we have been competing against them,
Michael Goldsmith: And continuing to
Brian Dickman: Add attractive properties to our balance sheet, or they are newer
Christopher Constant: Entrants, and the sector itself has grown. So I feel very comfortable about the way Getty Realty Corp. transacts and our ability to source and close investments at accretive spreads for us.
Brian Dickman: The competition is not a new dynamic in this asset class.
Christopher Constant: Whether it is just the way people are referring to C-stores or just talking about it on their phone calls. I do not want to comment too much on that. Do you want to take the disposals?
Michael Goldsmith: The disposals?
Brian Dickman: Yeah. Well, Brad, do you want to take the disposals?
Michael Goldsmith: I would just say quickly on the disposals, as Brian said, it was seven properties. You know, we are always evaluating the portfolio for different opportunities. Three or four of those actually went back to existing tenants. That happens periodically where we will sell assets to a tenant. Sometimes, it is a CapEx dynamic in terms of who wants to ultimately invest in those properties. In this case, it is a very small portfolio, but it was a very low, like, low-single-digit cap rate. Just the way that operator valued the portfolio, it was opportunistic for us. And then the others were just, you know, an asset here and there that for, you know, tactical reasons or otherwise, we just thought it made sense to dispose of. So no, I would not say there are any universal trends or anything that drove it. Just an opportunistic deal and a couple of tactical dispositions.
Michael Goldsmith: Great. Thank you.
Michael Goldsmith: Thank you.
Operator: At this time, there are no further questions in queue. I would like to turn the call back to management for closing
Brian Dickman: Excellent. Thank you, operator, and
Mitch Germain: Thank you all for joining us for our fourth quarter
Brian Dickman: Year-end 2025 call. We look forward to getting back on with everybody in April when we report the 2026.
Operator: Thank you, ladies and gentlemen. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.